Operator: Good morning, and welcome to GoHealth's First Quarter 2021 earnings conference call. My name is Victor, and I'll be your operator for today's call. [Operator Instructions]   I will now turn the call over to John Shave, Vice President of Investor Relations. John, you may begin. 
John Shave: Thank you, and good morning. Welcome to GoHealth's First Quarter 2024 earnings call. Joining me today are Vijay Kotte, Chief Executive Officer; and Jason Schulz, Chief Financial Officer. Today's conference call contains forward-looking statements based on our current expectations. Numerous known and unknown risks and uncertainties may cause actual results to differ materially from those anticipated or projected in these statements. Many of the factors that will determine future results are beyond the company's ability to control or predict. You should not place any undue reliance on forward-looking statements, and the company undertakes no obligation to update or revise any of these statements, whether due to new information, future events or otherwise.   Earlier today, we issued a press release containing our first quarter results of 2024. We have posted the release on the GoHealth website under the Investor Relations tab. In the press release, we have listed a number of risk factors that you should consider in conjunction with our forward-looking statements. We encourage you to consider the other risk factors described in our annual report on Form 10-K filed with the Securities and Exchange Commission for additional information.   During this call, we will be discussing certain non-GAAP financial measures. These measures are reconciled to the most directly comparable GAAP financial measure and the reconciliations are set forth in the press release. You may also refer to the investor presentation posted to the Investor Relations section of our website for reconciliations of non-GAAP measures to the most comparable GAAP measures discussed in this earnings call.   I will now turn the call over to GoHealth's CEO, Vijay Kotte. 
Vijay Kotte: Thank you, John, and good morning, everyone. I'm excited to share our first quarter results with you today. Our performance during Q1's open enrollment period exceeded our expectations for submissions, revenue and adjusted EBITDA. Notably, our internal captive channel grew submission volume by 20% year-over-year. In response to the challenging market dynamics observed during the annual enrollment period, we enhanced our targeted marketing efforts and successfully identified consumers in need of new plan options. I'm proud of our team's resilience and adaptability as they navigated these conditions, resulting in better-than-expected performance while maintaining the integrity of the Encompass workflow and more importantly, being great at doing good.   We at GoHealth provides support and clarity to Medicare consumers in a landscape marked by confusion and uncertainty. Over 65 million people in the United States are eligible for Medicare, and about half of them are on Medicare Advantage plan. One-third of Medicare consumers live in a county with more than 50 plans available to choose from. Navigating these options can be confusing and stressful. As a result, not enough consumers are shopping as they don't know who to trust or where to begin.   We believe GoHealth is the best resource to empower them to make this important and personal decision via our proprietary and objective tools, training and incentive structures. In the first quarter of 2024, our dedicated team empowered nearly 600,000 consumers to navigate their Medicare options, enhancing the consumer decision-making process, utilizing the PlanFit CheckUp via our proprietary Encompass workflow. Along with supporting over 215,000 new enrollments in Q1, we also provided peace of mind to over 94,000 consumers confirming their current plan is best for their needs.   We continue our evolution from a traditional Medicare enrollment company to a Medicare engagement company focused on building high-quality, long-term relationships with our consumers. This shift emphasizes a more integrated and interactive approach to consumer care, cementing our unique and vital role in the Medicare landscape. In our last earnings call, we highlighted a handful of market factors that could influence our performance in the year. As a reminder, first is the final rate notice on commissions for the 2025 plan year. Second is the final 2025 marketing role from CMS. Third is the degree to which there's health plan product and benefit differentiation between 2024 and 2025. Fourth is marketing efficiency within this election season. And finally, there is the relative health plan competitiveness and the effect on planned mix.   As we report our first quarter results, we have updates on the first two of these factors. First, CMS issued the final rate notice, which included a base commission schedule aligned with our expectations. The 2025 final rate notice does increase margin pressure for health plans, which increases the likelihood of benefit disruptions and market exits, especially for nonspecial needs plan. Some major health plans have confirmed significant upcoming benefit disruptions in their Q1 earnings calls. These disruptions could lead to increased consumer shopping and switching during the 2024 annual enrollment period, which is a positive dynamic for GoHealth's business model.   Though health plans are facing margin pressure, many are seeking targeted growth in specific markets and products. Some health plans have indicated a desire to grow in the special needs population, an audience that GoHealth is differentially able to attract and serve. These strategies and priorities will likely vary by health plan and be very geographically diverse.   We believe we are ideally positioned to help health plans achieve targeted growth in specific markets and products. Our Encompass workflow facilitates a seamless transition from validating enrollment to onboarding and engaging new plan members. We've proven our marketing attracts consumers who should likely shop and who might benefit from a switch, and we can precisely target based on geographies and product types. We believe we are the best in the industry at building trust with special needs population, delivering high-quality planted checkups and enrollment at scale.   Second, in April, CMS published the final 2025 marketing rules, including addressing independent agent and broker compensation along with new marketing guidelines. We continue to review these guidelines and discuss them with health plans for their interpretations. We remain cautiously optimistic that the final rule has a neutral impact to GoHealth on a direct economic basis with some modest impact to contract structure and oversight.   Our proprietary Encompass contracts and workflow not only differentially support our strong cash performance, but we also believe they provide the appropriate construct to support full compliance with the final rule with minimal modifications. We support CMS for their efforts to restrict and enforce against inappropriate practices amongst agents of brokers who place compensation above consumer needs. We also support the restrictions on third-party lead generators that blatantly violate marketing laws.   We believe GoHealth has already set a new standard by compensating our agents when reassuring a consumer, they're on the right plan. As CMS sets higher industry standards, GoHealth is committed to exceeding these standards to deliver best-in-class service to our consumers and health plan partners. We continue to improve our Encompass operating model to enhance efficiency and the consumer experience. Last year, we introduced PlanFit CheckUp using analytics from nearly 30 million consumer touch points and machine learning to help our licensed agents accurately match consumers with the best Medicare plans for their needs.   We believe this tool has improved the shopping experience for Medicare Advantage plans and aligns with the final CMS marketing rule. Importantly, GoHealth agents are compensated even if the assessment does not result in an enrollment. Fifth year, we're focusing on streamlining processes and improving call handle time based on consumer feedback. As part of this effort, we are launching Encompass Express. Encompass Express is an enhanced consumer-centric model built on the chassis of our original Encompass workflow. It includes streamlined scripting and handoffs using tech-driven standardization and automation to deliver efficiency and ultimately, a better consumer experience while maintaining quality.   These changes are anticipated to positively impact our financial results beginning in the second quarter and more substantively this fall during the annual enrollment period. Additionally, we are continuing to invest in technology to improve consumer experience, agent efficiency and overall quality. Key areas of investment include expanding data and interactive capabilities in Customer 360, our proprietary consumer engagement tool -- improving our PlanFit CheckUp to deepen consumer relationships and enhance service quality.   And finally, launching and testing a digital-first consumer shopping experience, enabling consumers to start the shopping process online. These investments are part of our long-term shift from a Medicare enrollment company to a Medicare engagement company. While most of the other market factors I mentioned are more likely to play out in the second half of this year, they are still significant, and thus, we continue to expect the following in terms of our performance in 2024.   First, we expect submission volume to grow in line with the overall Medicare market. Second, we expect our revenue to be flat year-over-year with incremental operating efficiency, resulting in modest margin expansion. Finally, cash flow from operations is expected to be flat to slightly up as we continue our transition into the Encompass model and shift to non-agency revenue.   We are driven by our commitment to transforming the consumer health care journey with continuous innovation and strategic foresight. I'd like to thank our team for their commitment to our values and our shareholders for their ongoing support and dedication to delivering long-term value.   With that, I will turn it over to Jason to detail our financial results. 
Jason Schulz: Thank you, Vijay. Our 2024 first quarter performance demonstrated the overall improvement and resiliency in our business model. We reported Q1 net revenues of $186 million compared to $183 million in the prior year. Our captive channel, which involves GoHealth's internal sales teams as opposed to relying on external agents or third-party brokers, experienced robust 20% growth due to a combination of enhanced training and technology, increased marketing efforts, and improved consumer retention strategies.   We believe our ability to effectively leverage internal resources to optimize sales and enhance consumer relationships, not only support short-term revenue gains, but also positions GoHealth well for sustainable long-term growth. Adjusted EBITDA, excluding Non-Encompass BPO Services, was $27 million for the quarter, a slight decrease from the same period of the prior year. We are pleased with our strong unit economic performance for the quarter. Adjusted gross margin per submission increased by 7% year-over-year due to an 8% improvement to sales per submission, partially offset with a higher cost per submission.   Q1 2024 cash from operations was $12.5 million compared to $20.5 million in the same quarter last year. This includes a $10.5 million payment to settle a shareholder lawsuit related to the company's 2020 initial public offering. Excluding this onetime item, cash flow from operations for the quarter would have been $23 million. We continue to see dependable cash flow trends, reflecting our ongoing focus on cash management and operating efficiency.   As illustrated in our quarterly results presentation, our trailing 12-month cash flow from operations as of March 31, 2024, was $101 million, an improvement of $74 million versus the trailing 12 months ended March 31, 2023. In Q1, we generated a robust $70 million of cash adjusted EBITDA compared to $78 million in the prior year period. We believe that cash adjusted EBITDA is a helpful measure of our business as it neutralizes the impact of the LTV estimates related to the future years.   As a reminder, cash adjusted EBITDA is simply taking our reported adjusted EBITDA plus the year-over-year change in our net contract asset. If the net contract asset has decreased, this is a result of higher cash collections from the back book and the inverse is true if the net contract asset has increased year-over-year. As we noted in our year-end filings, in the first quarter of 2024, we successfully negotiated an amendment to our debt agreement, adjusting the leverage ratio requirements for the duration of the loan facility. We will focus on refinancing our debt over the next few months as we aim to optimize our debt structure. We believe that this amendment provides additional flexibility to support this goal while allowing us to continue investing in the business for future growth.   In conjunction with the amendment, we made a $50 million term loan payment in early April. We expect to make an additional $25 million pay down in early Q4 of this year. As we navigate the evolving market landscape, we continue to focus on profitability and value creation.   I will now turn the call back to Vijay for closing remarks. 
Vijay Kotte: Thank you, Jason. We believe our strategic initiatives, particularly the successful implementation of the Encompass workflow, have not only boosted our operational efficiency, but also enhance the service quality provided to Medicare consumers. We are currently in advanced discussions with select health plan partners to roll out the PlanFit Safe Compensation Initiative aiming to align our incentives more closely with consumer needs by ensuring they are enrolled in the most suitable plans rather than prioritizing the financial benefits of new policy enrollment.   Our firm belief is that not only do our PlanFit Safe aligned with the overarching priority communicated by health plans to retain membership, but this approach also prioritizes long-term consumer satisfaction and trust. Looking ahead, we are dedicated to using our insights and technology to further enhance the health care journey for consumers, empowering them to make well-informed Medicare decision.   We are now ready to take your question. 
Operator: Thank you. [Operator Instructions] Our first question will come from line of Ben Hendrix from RBC Capital Markets. 
Benjamin Hendrix: Congratulations on the quarter. Just wanted to get some thoughts on the regulatory environment. It seems like there was some language from CMS in the rules, targeting commissions within captive carrier arrangements with brokers. And I wanted to just get more details on kind of how you're seeing the detail -- or the provisions of the rule thus far and kind of what gives you confidence in that alignment with Encompass. 
Vijay Kotte: Really appreciate you joining this morning. As we think about the final rule, and I think there have been a lot of different interpretations out there, but the general underlying concept here is that CMS is very focused on inappropriate incentives to independent agents and brokers, whereby an independent agent or broker may be influenced to write one health plan or a policy type over another one based solely on their reimbursement. And uniquely for us, as GoHealth operates, our agents, as you know, are generally hourly wage or salary wage and they have a very minimal variable compensation. And even that variable compensation that they do receive is health plan agnostic.   And then on top of that, we go further, as you know, to compensate our agents for not selling or enrolling in consumer in a new policy by just making sure they get peace of mind. So really, the variable tide for us is about providing a service as opposed to delivering a new enrollment. All of that, based upon the way we've interpreted the current rules or the way that was proposed and finalized, is consistent with where the health plans have conversed with us on the topic as well is that, that is outside the realm of what CMS was targeting, meaning our model is separate and distinct from where they were trying to focus their efforts.   In concert with that, though, what we will say is our efforts to go beyond the minimum standards established by the CMS regs are what we're focused on. It's not about meeting the minimum threshold. It's about doing the right thing and being differentially better for consumers and for the health plans that we also partner within the process. And we're feeling very good about that. And the fact that we really spent a lot of time in designing the Encompass structure to be built off a fair market value basis to begin with on how we're reimbursed for the direct services we deliver and then ensuring that our agents are incentivized to do the right thing.   So we are cautiously optimistic as to how that's going to play out for us as we continue to advance the model forward to be consumer-centric and focusing on engagement going forward. But as we think about where we go in the relationships with the health plans and how we think about the contracts, there are some elements of waivers that were in there before around marketing and admin dollars that we just need to tweak on the way we -- adjust the way they're described in our contracts.   But again, all of our contracts are built on a fair market value basis and ultimately do not influence what our agents sell or don't sell. It's the appropriateness of the plan for our consumers on a personal basis that influences that. So we're pretty excited about where things landed and we're pretty excited about how we can continue to deliver differential service with our model. 
Benjamin Hendrix: And if we could move over to kind of positioning for AEP this year. It seems like the carriers in our coverage, United is not backing away from targeting margins to the high end of the range. We have CVS and Humana really in earnest focused on margin recovery being a 2025, even which could include pulling some plans in certain markets and replacing them. It seems like all in all, a big setup for shopping behavior in the fourth quarter. Without all that commentary coming from the carriers, just wanted to get your thoughts on how you're positioning for AEP? What that could mean from both the volume and also an LTV perspective? 
Vijay Kotte: No. That said, it's a very astute question given all the market dynamics that are out there, Ben. As we look at the market landscape. We have -- there are a number of consumers every year who always shop, right? They're always shopping, always see if there's a better deal available. The unique element of what's coming in this upcoming annual enrollment period is you're going to have shoppers who need to shop who haven't previously. They've been able to quote unquote, set it and forget it. And as we've said in previous calls, we believe more consumers should be shopping every year.   And what we expect this AEP is that you will have more of those consumers needing to shop because of the disruption that happened to their status quo benefit plan, either an exit of their current benefit plan or a significant degradation to the benefit values for them that will motivate them to shop. And we believe we're the best destination for that shopping to give them that true personalized assessments to are there better alternatives for them.   And so when you think about shopping, we have been pushing and hoping and advocating for more shopping in general. We expect shopping to increase. More significantly for us, as we've highlighted, we are proving -- we've really put our money where our mouth is on ensuring that we're going to do only what's right for the consumer. So even though shopping has been increasing, the dynamics and the disruption of the benefits determines also the justified volume of switching.   And so we believe based upon these dynamics that you described with the different health plans, that there will be more of a justified reason for switching, which is a very positive dynamic for GoHealth and our operating model. I think it's also important to note that despite the fact that many health plans are having pain points, as I referred to my prepared remarks, -- many of those health plans still want to grow in very targeted areas with different populations, etc. And we also bring that added advantage. Not everybody knows how targeted we can be with our unique marketing capabilities and what Steve Moffat, our Chief Marketing Officer, has been able to do with the team to really get down to those unique demographic areas and geographies to be able to identify those pockets who have the greatest disruption.   So where we can anticipate disruption using our predictive modeling and our strong actuarial teams, we're going in, in a laser-focused way with targeted messaging to help really mobilize that shopping and support the necessary switching that will likely be there. So that's generally how we're approaching our preparedness and our planning. And the other piece I'll add is -- was in the prepared remarks was our launch of the Encompass Express which has really learned how to be more efficient so we can do more with less and deliver a better experience. And you started to see some of the learnings that we had in the first quarter, where we delivered some strong year-over-year efficiencies on what we're actually doing with our agents. 
Operator: And our next question comes from the line of Pat McCann from NOBLE Capital Markets. 
Patrick McCann: Really quickly, my first question will just be to piggyback on the last question. You've talked about how in the most recent AEP that we've come out of, there was low plan switching and it wasn't a big period for plan switching. When we look ahead to the next AEP and the -- and have an expectation for increased switching, is -- would you characterize that as more relative to this past AEP? Or if you were to go back several years, would you say just objectively, the upcoming AEP, you would expect it to be a significant plan switching period. Does that question I guess make sense? 
Vijay Kotte: No, it does, Pat, and it's a very kind of -- it's an interesting way to think about it and ask the question. So I appreciate the way you've asked it. Let me kind of replay it for you. I think the question you're asking is, okay, we get that this past AEP in Q4 '23 versus what we are expecting to see in Q4 of '24, that there will likely be higher switching. But how do we think of that on a relative basis compared to yester year when there was a lot of benefit investment and there was justified switching. Are we going to be more in line with those years? Are we expecting it to be more? Is that an accurate replay? 
Patrick McCann: Yes. Thanks for that Vijay. That's perfect. 
Vijay Kotte: So here's how -- first, let me just say, we don't know for sure, right? We won't know until we understand the details of what the health plans do in their final bids, which are still in process. We won't know those final benefits officially until October. And so it's going to be really important that it's going to be a changing dynamic for us to really predict. But let me tell you how we think about this. I think first and foremost, we have to highlight that what motivated -- and we said this on the Q4 call. In typical -- typical years, you can have three scenarios, right? You can have somebody plans playing offense to just improve benefits to grab share. And that's what's happened in the last few years, putting last year's side a little bit.   But just if you could talk about the last couple of years, you've been seeing that. There's a clear winner in each one of those years who really invested in benefits. You can have a neutral spot where the major health plans really don't invest a lot into the benefits or you can have a degradation time when they're pulling back on benefits. In the first and the last scenario of investing in benefits and degrading benefits, those are high switching environment.   Now what I would say is that on average, if we were just talking about the same shopping consumers, it would probably be a little bit more similar to when there was high switching justify for offensive reasons over the last few years, maybe putting -- going beyond just the last AEP. But what I think is going to be interesting to observe is the disruption to the consumers who historically weren't shopping every year, right, who may be selected a plan, became new to Medicare and haven't looked at it again.   But now because the benefits are not just staying the same or getting better, some are getting worse or leading the market in total, that's going to generate a new shopping population that will be net additive to the shopping and likely switching scenarios. So that's what we're going to want to monitor. So just to be clear on your question, what I would say is the same shopping population year-over-year will likely have switching dynamics. I would expect, but again, we will have to see the details later this year, more similar to those prior year AEPs that you're describing.   But the real scenario to focus in on and what we're spending our time on, all those populations who haven't been historical shoppers were looking for a trusted resource because there's significant negative disruption that they haven't seen in the past. And that's where we're really hoping that we can serve more of the population. 
Patrick McCann: And then also, you guys mentioned certain developments in the business enhancements you're making, for example, the allowing consumers to shop -- begin the shopping experience online. Could you just drill down a little more into that as far as what's driving you to make that enhancement and how that would drive demand. And I guess one of the things that crosses my mind is as we move forward year-by-year, the 65-plus population is going to be more and more technologically literate, if you will as the years progress. So maybe you're just sort of setting up for the long term. But could you just give a little bit more color there? 
Vijay Kotte: Sure, Pat. As we think about the digital -- direct digital space, that isn't going to go away as an opportunity. But to your point, it's going to be increasing over time. And the real question is how do you access those populations and provide them the visibility, the self-driven approach to learning and educating themselves while also providing them the peace of mind of a good experience and the wrap around with somebody to confirm for you that you're doing the right thing for yourself and not doing harm to your benefit needs.   And so as we've been pursuing this, we've spent a lot of time segmenting out the Medicare population, listening to consumers, finding out what could augment or bring those who need to shop as I referred to before, to shop, right? Enabling them with tools that are not pressurized in a way that give them the opportunity to educate themselves. And ultimately, where we're focusing our efforts is empowering the consumer how they want to be empowered to make a good Medicare decision.   And part of that is providing transparency into their options in a very simple, transparent way that can provide them the flexibility to get personalization or just no general eligibility of opportunities. And so we've been continuing to invest in testing those types of tools. And we're going to continue to know that digital isn't going to go away. Digital will be there and it will likely start to increase over time. And so we're trying to be responsive to that. And we're excited about what it could be for those consumers who really want to play in that space. 
Patrick McCann: And if I could just squeeze one more in. You mentioned PlanFit Safe and the conversations you're having with the health plans about compensation arrangements and so forth. Is there -- I guess, two things. Is there any additional information you could give as far as what an arrangement might look like? And then any timing updates on when we might expect additional announcements about that? 
Vijay Kotte: No. It's something that we're very excited about as I closed with here today. The PlanFit Safe compensation model, really based upon the fact that we have proven to our health plan partners that we can do the right thing. And in these markets where retention and continuous engagement are extremely important to the health plans and valuable to consumers. We have, again, this quarter in open enrollment period, did 94,000. So between AEP and OEP, we've done just about 200 -- over 200,000 PlanFit Safe's already.   So as we think about that and the good high-quality conversation we've had with nearly every major health plan, we're expecting to be launching some of these programs to be tested here in Q2 and Q3 and looking to have them substantively in operations as we go into the annual enrollment period. So we're excited about that. I'm not ready to get into the economics of those arrangements. But needless to say, the cost is already born in our model today. And so anything coming from those will be additive and incremental in the way we think about them. 
Operator: And our next question will come from the line of James Sidoti from Sidoti. 
James Sidoti: I'm looking at the revenue breakdown and non-agency revenue looks like it's about 45%, 46% of revenue, up from about 24% last year. Can we assume from this that there's a much lower risk of having any revenue reversals going forward? 
Vijay Kotte: Yeah, I would say that on the business that we've written under that model, again, you should always think about it for the book that you just wrote, where you would have any kind of look back potential exposures. And as you move away from agency to non-agency, and then it's also a little bit more nuanced. It's also how much you've left in agency that is related to high quality stable plans versus others. So, there's a little bit of a mixed question there as well. But in short, the simple answer is yes, when you write more non-agency, you have less intrinsic market risk for those things about tenure or churn rates, etc., that would impact back book values. 
James Sidoti: And you generated more free cash in the quarter, I think it's third quarter in a row with positive free cash flow. You're paying down some debt and you talked about refinancing. Can you talk about what are your options with regards to refinancing? Are you looking at other straight debt? And how do the rates compare to what the existing debt is at now? 
Vijay Kotte: It's a great question. We were obviously very focused on it. Let me just first talk about those cash flow dynamics. We are so regimented. I'm very proud of our team. Michael Hargis, our COO; and Jason Schulz, our CFO here, we're still with day in and day out to find opportunities to drive efficiency, really invest in both our agent experience as well as the obvious consumer experience in the process. And we've been able to be very thoughtful as to how we make investments in our technology, to really support that overall model that is the true driver of the cash dynamics of our business.   It is that consistent workflow that's focused on standardization and less unnecessary variation in the pool. As we have been able to deliver that high confidence cash flow, as we've also been able to consistently show rigor around our operations. It has enabled us to make those debt pay downs that we've done and opened the door for us to have substantive thoughts around refinancing that debt to get to better interest rates and carrying cost levels for our debt.   And so, we're exploring all of those alternatives right now, looking at refinancing, looking at any other market tools that could be there that help us utilize our assets to enhance our debt position so that we can decrease the interest expense that we have and continue to more differentially invest in growing the business. We think we are in a great spot to continue to invest under our current state in growth via our technology and the Encompass workflow we put in place.   But as we look at the refinancing markets as we look at those tools, no doubt, our cash position and the stability that we've had there and our ability to continuously pay down that debt without taking even a dollar really for our revolvers in over two years has enabled us to have some really good progress on the path of what we hope to speak more to you about over the coming months around our refinancing and finding ways to optimize our debt structure. 
James Sidoti: I guess let me put it a different way. Would you be disappointed if after refinancing, you didn't have a better rate than you have today? 
Vijay Kotte: Yes, I would be very disappointed in that. I would expect that to be highly unlikely, but obviously possible, but that is not -- that is to be very succinct. Yes, I'd be very disappointed by that.  Well, thank you so much. I really appreciate Ben, Pat, Jim, your questions, very thoughtful. We are going to close the call here, but I just want to highlight a couple of things. This is one of the most unique years we've seen as we approach this annual enrollment period. We will continuously be experimenting this set for Q2 -- the remainder of Q2 and Q3 as we think about all the different ways that we can serve an expanding population of shoppers who need our services more than ever.   We have a number of different tactics and tools to continue to build and enhance the trust of being that engagement company as opposed to just an enrollment company. If you think about what we did in AEP versus OEP, we had over 10% of the consumers who've got PlanFit Safe in AEP, come back to us in OEP for another PlanFit Safe to reconfirm because there's uncertainty, because they're hearing that noise. We are excited about the opportunity to truly deliver on our value proposition of helping consumers doing it the right way and being absolutely opportunistic in being able to deliver high value and rewards for both consumers who seek our services and our stakeholders who are giving us the opportunity to deliver that service to them.   So, thank you all for your time and attention today, and we look forward to speaking to you again very soon. 
Operator: Thank you for your participation in today's conference. This does conclude the program.